Operator: Good day ladies and gentlemen and welcome to the Lands’ End, Third Quarter Fiscal 2017 Earnings Call. At this time all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions]. I would now like to turn the call over to Mr. Bernard McCracken. Sir, you may begin.
Bernard McCracken: Good morning, and thank you for joining the Lands’ End earnings call for our third quarter fiscal 2017 results, which we released this morning and can be found on our website www.landsend.com. On the call today you will hear from Jerome Griffith, our Chief Executive Officer; and Jim Gooch, our Chief Operating Officer and Chief Financial Officer. After the company’s prepared remarks, we will conduct a question-and-answer session with our covering analysts. Please also note that the information we are about to discuss includes forward-looking statements. Such statements involve risks and uncertainties. The company’s actual results could differ materially from those discussed on this call. Factors that could contribute to such differences include, but are not limited to those items noted and included in the company’s SEC filings, including in our annual report on Form 10-K and quarterly reports on Form 10-Q. The forward-looking information that is provided by the company in this call represents the company’s outlook as of today, and we do not undertake any obligation to update forward-looking statements made by us. Subsequent events and developments may cause the company’s outlook to change. During this call we will be referring to non-GAAP measures. These non-GAAP measures are not prepared in accordance with the Generally Accepted Accounting Principles. A reconciliation of non-GAAP financial measures to the most directly comparable GAAP measure is contained herein or is contained with our earnings release issued earlier today, a copy of which is posted in the Investor Relations section of our website at landsend.com. With that, I will turn the call over to Jerome Griffith.
Jerome Griffith: Thank you Bernie and thank you everyone for joining us today. Overall we are very pleased to see the continued momentum in the third quarter, which illustrates the strong progress we are making on improving our business performance. For the quarter revenue grew 4.5% as compared to last year, led by our online business and adjusted EBITDA was $12.9 million compared to $1.3 million in last year’s third quarter. In addition to delivering another quarter of improved financial results, we again drove double digit growth in our buyer file, which has now increased for the third consecutive quarter across existing, lapsed and new customers. During the quarter we saw strong performance in our outerwear, bottoms, men’s knit tops, women sweaters and home category. We are also excited to see the momentum in our business continue through the Thanksgiving, and Cyber Monday period. Since I joined the company nine months ago, we’ve made significant progress as an organization. We stabilized the business after several years of contracting sales and laid the foundation for growth in years to come. Looking ahead I believe that we are uniquely positioned as a highly recognized American Heritage Brand operating in the heartland of the country, representing strong family values and offering a great value proposition. I am more optimistic than ever about the opportunity ahead of us as we fully capitalize on our Lands’ End strong heritage and leverage the excellent team that we have in place. We are committed to achieving consistent growth across the business by focusing on four main areas: Product, digital, distribution channels and business processes and infrastructure. Emphasizing our customer centric orientation, our activities within each area will be guided by our customers’ needs and preferences. First and foremost is our product. Our priority is to make our customers everyday life better by offering products with purpose, consistently communicating that we understand their needs and providing exceptional customer service. These attributes have been the foundation of Lands’ End 50-plus years of success and have earned the brand its loyal customer following. To ensure that we have continued to maintain our heritage, we are refining our product assortment with relevant and compelling styles, as well as updating the quality and fit to make sure that our products reflect our strong brand heritage. We are doing this through several different avenues. We are focusing on delivering key items that align with our customers preference for timeless pieces and classic stylings that are well made and offer great value. This will primarily center around our core products, including outerwear, knits, pants and swimwear. Our merchandise and design teams are coordinating with our marketing group to ensure that we are building a strong story around these key items across all touch points of our businesses. The products they buy have a purpose for their lifestyle, yet are innovative so that they continue to fulfill their everyday need. They're not looking to climb a mountain, she comes to Lands' End for a jacket that’s warm and moves with her while she's ice-skating with her family, a swimsuit that's flattering and functional at the beach or an outfit that makes her feel comfortable and well put together at a holiday gathering. Knowing this, we are focused on further enhancing our merchandise offering through continued product innovation, better inventory management in terms of content and flow and increased speed to market. As we focus on our core product offering, we are also looking for way to further our brand awareness. A great example of this is our exiting new partnership with the Weather Channel which will feature Lands’ End as part of all live, out-of-studio reporting. As the Weather Channels official outfitter, this is also an incredible opportunity to showcase our apparel highlighting our iconic outerwear, a category in which we will continue to leverage our core competency. We also plan to selectively broaden our product offerings where it makes sense for the brand. We’ve increased our focus on the home cartogram where we see a meaningful opportunity to expand the business as we better align the product assortment with the needs of our customer guided by data analytics and purchasing preferences. We will also focus on growing our outfitters business going forward with our innovative products to meet the needs of our partners. This includes our anticipated launch of the new delta airlines program in the fourth quarter. Our second area of focus is on becoming a more digitally led company. We see great opportunities to leverage data analytics in order to better tailor and personalize the shopping experience for each customer. We know that they want to accomplish four things when they shop at Lands' End: to find what they are looking for quickly and easily, to ensure that it will fit right, to discover new products, and to receive their order when they need it. We are therefore embarking on a number of initiatives to become a quicker and more nimble digital company to create a better customer experience across touch points. These activities are centered on improving and optimizing the user experience across multiple device platforms, offering personalized massaging, product presentation and suggestions each time they visit our site, leveraging data to make better decisions, and improving our speed to market and speed to customer. Our third area of focus is on our distribution channels. In this competitive retail landscape it is key to our success to create an excellent customer experience, in not only how we sell, but where we sell our products. We are testing and implementing our stagey for standalone Lands' End stores, so that we can create the optimum environment for the bricks-and-mortar shopping experience. We are learning both from the market place and from our customers as we create a store strategy that embodies our brand, resonates well with our customers and offers a seamless multichannel experience. As part of our retail strategy, we are using customer analytics to help inform our decisions such as what’s important to our customer at our Lands’ End store and what geographic locations make the most sense for us. We expect our first location to open in the first half of 2018 and we plan to open a handful of locations throughout the year as we test our concept. We are also exploring opportunities to utilize third party B2C digital channels, both domestically and internationally in order to expand the universe of Lands’ End customers and increase brand awareness and exposure. In addition, we continue to focus on the B2B market place through our outfitter business. We are excited about the Delta launch and see additional opportunities across regional and national accounts over time. Overall we believe that we have an opportunity to optimize our distribution channels by leveraging a combination of digital, retail, third party and international channels. We plan to execute on this initiative as we test and learn over the coming years. The fourth area of focus is on business process and infrastructure. As you know, we have invested in a new ERP system over the past several years, with an emphasis of process standardization and efficiency in order to reduce manual tasks and improve how we collect, store and use information. We are already benefiting from the finance and merchandising operating system that we put in place earlier this year and that are in the process of implementing additional capabilities in those areas, as well as improved inventory planning processes. These will pave the way to roll out more strategic competencies as we work to grow the business and operate as a global multichannel player. As we look to the future, we will turn our attention to systems for improving our order management and warehouse management, as well as optimizing our logistics and transportation, which will further enable us to operate with speed. We believe that we are well underway in having the data, the processes and the talent in place to capitalize on our brand’s heritage and interact with our customers in a highly selective personalized way based on their experiences and lifestyles. In fact, we recently accounted the appointment of Gill Hong as Executive Vice President, Chief Merchandising Officer and Head of International and Sarah Rasmusen as Senior Vice President of E-Commerce. They both have exceptional experience in helping us execute in these two critical areas of our business. Essentially it’s up to us to put the customer front and center, meet them when they are going and anticipate their needs. This will be done across the broad from our product assortments, technology choices, distribution channels and infrastructure backlog. Ultimately our customer wants to feel connected with the brand and be taken care of products that are great quality, of good value and fulfill their needs that they have in their life. In conclusion, we’ve laid the foundation for growth and we are now focused on finalizing our strategic plan to drive consistent long term performance over the next several years. While I will provide more detail in January at the ICR Conference, I will share that our initiatives are rooted in driving growth across the business as a customer center multichannel online organization. This means we will provide customers with better and faster access to the products they want across channels, evolve our product offering to continually have a purpose for our customer and be innovators in our digital and marketing programs to enhance our customer connection. We will also focus on growing our retail presence to ensure that customers have access to products whenever and wherever they want to shop. We are excited about the momentum in the business and believe that we are now well positioned to capitalize on the opportunities ahead for Lands' End. I look forward to providing you with more details of our go forward plan in January. With that, I’ll turn it over to Jim to review our financial performance.
Jim Gooch: Thank you, Jerome and good morning. We are very pleased with the continued progress that we made in the third quarter. We drove revenue growth and gross margin rate improvement and reduced expenses which resulted in a significant increase in profitability. For the third quarter revenue increased 4.5% to $325.5 million compared to $311.5 million last year. Our overall revenue grew 6.1% after adjusting for the Sears store closures, which accounted for approximately $5 million of revenue in the prior year. Sales in our direct segment grew 6.7% to $290.3 million, while retail sales decreased 10.8% to $35.1 million, largely resulting from the Sears closures. In terms of product, within outerwear we saw a positive response to new more robust traditional offering, specifically in fleece and lightweight down. Bottoms showed improved performance with the introduction of woman’s pencil pants and men’s Knockabout Chino and within home solid performance driven by basic Supima towels and bedding. We are also very pleased with the continued positive momentum in our buyer file as we further refine our product assortment and value proposition, optimize our marketing efforts and enhance our customer experience. These efforts drove double digit growth in our customer file with increases in both new and existing customers as well as, reactivation of lapsed customers. We continue to see improvements in both traffic and conversion. We fine-tuned our marketing spend focusing on our most effective media channels, specifically digital and our catalog. We remain committed to taking a disciplined, strategic view of our promotions utilizing a test, learn, and react approach which is driving improved promotional productivity and profitability. In addition further refinements to our catalog include focusing on key items selling and enhanced product presentation, as well as improve predictive modeling around consumer buying behavior. We saw a slight decline in our outfitter business during the quarter, mainly driven by national accounts. This was partially offset by an increase in revenue from our schools uniforms business during the back to school season. We expect to see improvements in this business as the new Delta account launches at the end of the fourth quarter and the beginning of the first quarter of 2018. Turning to our retail business same-store sales were negative 2.1% in Sears locations and positive 3.3% in our stand-alone stores, which combined resulted in our comp store sales decrease of 1.3%. We were negatively impacted by the closing of 31 Sears locations since the third quarter of last year, and we ended the quarter with 188 shops at Sears. As we previous discussed the leases for our remaining Sears locations expire over the next 26 months. In January of 2018, 49 of these leases are scheduled to expire. We currently plan to exit 14 of these locations that are in the processes of negotiating more favorable lease terms on the remaining 35 locations, which include both rate reductions and our shorter renewal term of only 12 months. We expect the revised terms will help us yield a positive EBITDA in these stores and enable us to retain existing Lands' End customers that shop us at Sears. Gross margin increased 70 basis points year-over-year to 43.6% and gross profit increased $8.3 million or 6% from $133.7 million last year to $142 million this year. Overall we believe our initiatives enhance our promotional productivity and rationalize our offers our driving improved product margin compared to the prior year. The direct segment gross profit increased 11.3% and gross margin increased 190 basis points to 44.8%. The increase was largely driven by actions taken relating to offers and pricing as well as the write down of underperforming inventory, primarily Canvas, which occurred in last year’s third quarter and did not repeat this year. In the retail segment, gross margin decreased to 34.1% mainly driven by shrink and a shift of liquidation events between quarters. Selling and administrative expense decreased 2.5% to $129.1 million. Despite our increased sales we were able to reduce our cost and realize more than a 250 basis point improvement in expenses as a percent to sales. The $3.2 million decline in SG&A was primarily the result of lower marketing and other variable expenses, partially offset by $7 million in higher incentive accrual. Even though we still anticipate our annual marketing expense to be slightly down versus last year, we’ve shifted dollars out of the third quarter into the fourth quarter, where we believe the spend will be more productive. Furthermore, assuming our continued strong performance in the business, we expect another increase in incentive accrual in the fourth quarter. As a reminder, in the prior year there was no incentive accrual in the second half of the year due to the performance of the business. Finally SG&A in the fourth quarter will also be impacted by costs related to the Delta launch with the corresponding revenue recognition just beginning at the tail end of the fourth quarter and into the beginning of 2018. Depreciation increased by $1.6 million to $6.3 million, largely due to our multi-year ERP implementation. This program will involve multiple asset go live dates as we move forward into 2018 with corresponding increases in depreciation. Operating income increased $9.3 million to $5.9 million compared to an operating loss of $3.4 million in the third quarter of 2016. And finally net income for the quarter was $0.2 million or $0.01 per share compared to a net loss of $7.2 million or $0.23 per share last year. In addition to the GAAP measures that we outlined above, adjusted EBITDA is an important profitability measure that we use to manage our business internally. For the quarter, adjusted EBITDA was $12.9 million that’s an $11.6 million increase compared to $1.3 million last year. Now let’s take a look at the balance sheet. Total cash at the end of the quarter was $92.2 million, compared to $131.5 million last year. Inventory at the end of the quarter was $423.5 million, which was down $2 million compared to last year. Even though our inventory was fairly flat, our accounts payable balancer decreased $20 million versus the prior year as we improved the inventory flow to help drive the business during the quarter. This resulted in a negative timing related impact to our cash balance. Overall, we believe the health of our inventory continues to improve our inventory. Its fresher, its more current with less age product and we remain very confident with both the quality and content of our inventory investment. Net long-term debt decreased to $487.2 million compared to $491 million at this time last year, with the reduction due to the quarterly principal payments. We also recently announced the closing of a new $175 million, ABL revolving credit facility which matures in November of 2022. The new facility refinances the existing $175 million facility with similar terms but with lower borrowing and unused fees. While there is no current intention to utilize this facility we are pleased that it provides us with continued access to liquidity reserves at a more favorable cost structure as we execute on our short and long term strategic initiatives. Looking ahead, we continue to expect CapEx to be approximately $35 million to $40 million in 2017. The majority of this spend is associated with the ERP and other information technology investments. With that, we’ll open up the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Alex Fuhrman of Craig-Hallum Group. Your line is now open.
Alex Fuhrman: Hey, thank you for taking my question and congratulations on a really nice third quarter. You know I wanted to ask about the retail business and if I’m doing the math right here, it sounds like you know there is a number of your stores that you’re going to be looking to close here in the spring and then sign a bunch of 12 year leases perhaps on the reminder if I’m thinking about this correctly, I believe that would mean that substantially you know all or most of your leases would then come due you know next, the following year in the spring in 2019. What would your plans be at that point or are you still looking to see maybe how the next year performs before you kind of have that larger decision to make in the spring of 2019.
Jerome Griffith: Well, a couple of things Alex. I think you meant to say 12 month leases instead of 12 year leases.
Alex Fuhrman: Yeah I meant to say that.
Jerome Griffith: Yes. All of the leases as we said come due in the next 26 months. The majority of them come through every January. So we have a trench this January, a trench next January and then the remaining the following January and so we’ll go through a similar process that we went through this year. You know we’ll take a look at them, look at the profitability, look to what our top line sales are, look at the customer retention, have conversations with Sears about what our go forward is and we’ll be able to make the decision store by store at that point. With this group as we said, we decided to keep 35 of them for 12 more months. We were able to negotiate favorable terms, not only on the lease term, but also on the rent and then the remaining ‘14 that we either felt wouldn’t be profitable or we weren’t able to reach appropriate terms, we decided to close. So I’d anticipate a similar process over the next 26 months.
Alex Fuhrman: Okay, and I guess what I’m getting at is I imagine you know all the stores when you’re talking about profitability here, you’re talking about on a four wall basis…
Jerome Griffith: Four wall, yes.
Alex Fuhrman: And I’d love to just try to get a better sense of understanding. You know how much fixed expense is there with the retail business that’s at stake you know as you look into 2019. I mean are we talking – just trying to get a better senses of you know how much of that fixed expense could be trimmed as you reduce the number of stores versus you know how much is just that kind of baseline that as long as you have any stores there’s going to be that certain component of expense?
Jerome Griffith: It’s not a tremendously fixed intensive business. It’s a combination just like any retailer would be. You have a significant amount of store expenses that’s more variable related to each store, but then you do have a fixed component that relates to the management of that business and so a lot of that will come in a step function too if we ended up closing a significant amount of them. We’d look to take out a portion of those if those fixed expenses – for instance if you close all those stores out of one district, you’ll be able to eliminate any expenses related to that district. So we’re looking at that as we manage through these next 26 months and I think you’ll see us manage it appropriately.
Alex Fuhrman: Okay, that’s helpful. Thanks. And then looking into Q4, I mean it sounds like Thanksgiving weekend was very strong for the company. Can you give us a sense of how your more seasonal cold weather items have performed so far and as you look to the month of December how your inventory sits and if you’re expecting seasonal to be a major component or more or less than last year for December.
Jim Gooch: The seasonal product actually performed relatively well, even as we started off into fall, even though it’s not really a cold fall. You now outerwear was performing pretty well, cold weather accessories has performed well, flannel shirts have been phenomenal, turtlenecks have been phenomenal, sweaters have been very good. So we’re pretty pleased with the selling that we have seen to-date. I think in some cases, you know as you can see in our inventory, the inventory is getting quiet clean. We are looking quite good from an investment standpoint on product; we’re feeling about the transition into spring coming up. Having said that, you know we’re not even half way through quarter four yet. We still got a long way to go, there’s still Christmas business to do and then we have the launch of Delta in January and there’ll be you know some stuff that will go out the door in January and a lot that will go out going into quarter one of next year as well. Since this is our biggest launch you know we feel like quarter four has started off well, but we’ll see how it performs throughout the rest of the season. But as far as you know cold weather gear is concerned, we feel great. You know the product looks good, it sold really well and this morning it was like 19 degrees when I woke up here. I think it’s going to get cold on the east coast, so it’s all looking good.
Alex Fuhrman: That’s very helpful. Thank you very much.
Operator: Thank you and I am showing no further questions at this time. Ladies and gentlemen, thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone, have a great day.